Operator: Good morning, ladies and gentlemen, and welcome to today's Legrand's 2023 Nine Months Results Conference Call. All participants are in a listen-only mode. Later, there will be a question-and-answer session. For your information, this conference is being recorded. At this time, I would like to hand the call over to CEO, Benoit Coquart; and CFO, Franck Lemery. Please go ahead, sir.
Benoit Coquart: Thank you. Hello, everybody. Thank you for connecting to this call. So as usual, Franck, Ronan and myself are happy to welcome you to the nine months conference call and webcast. Please note that this call is recorded. We have published today, as you know, our press release, financial statements and a slide show to which we will refer. Those documents are available on the Legrand website. After a few opening remarks, we will comment the results into more detail. I begin on page four of the deck, with the three key takeaways of this release. First, Legrand recorded very solid results in a contracting building market. Second, we actively pursue our growth strategy through dynamic external growth in Buoyant segments. Third, we have specified our full year targets. So moving to page six to seven, I will start with an overview of sales. In the first nine months of 2023, excluding Russia and FX, our sales grew by plus 5.8%, driven by an organic rise of plus 3.7% and a Scope from acquisitions of plus 2.1%. In a contracting building market, these figures point to our resilience. It is driven by faster expanding segments, energy efficiency, data centers and connected products, pricing, robust commercial performance and active M&A. Regarding the two other elements on sales, the negative Scope effect from Russia was minus 0.7% and is expected to be minus 1.0% on the full year. The exchange rate effect was a negative minus 2.4%. That should be close to minus 3% for the full year based on average rates of October. On page seven, you will find the key takeaways per geographies on a like-for-like basis. In the first nine months of 2023, the Group achieved overall a solid level of growth despite the global building market in retreat. Europe grew a very solid plus 7.1% with the third quarter alone delivering plus 7.6%. This remarkable performance is driven by a strong growth in each faster expanding segments. In the US, we recorded a decline of minus 1.6%, in an environment that so building markets lose ground overall, we resist -- thanks to strong double-digit growth in sales to data center. Finally, the Rest of the World area, sales marked an organic rise of plus 6.2% over nine months, driven by very sustained growth in India, Africa and in the Middle East. These were the main comments I wanted to make on top line and sales. I will now hand over to Franck for more color on our robust financial performance.
Franck Lemery: Thank you, Benoit. Good morning to all of you. I will start on page nine, commenting the adjusted operating margin. Before acquisitions, and excluding Russia, we recorded a high adjusted operating margin of 21.9% over nine months, representing a remarkable plus 1.7 points increase versus last year. The high profitability level of the period demonstrate once again Legrand's strong resilience in an unfavorable market environment. The impact of acquisitions and of Russia was of minus 0.3 points, meaning that the adjusted operating margin all-in over nine months stood at 21.6%. Going now to page 10 and highlighting two main points. First, with a net income of EUR 937 million, representing 14.9% of our sales. Earnings per share were up plus 15.9%, showing very strong value creation. It beneficiated from the favorable trend of operating profit, favorable trend of financial results as well as a lower income tax rate. Second, the cash generated during the nine-month period is remarkable, with cash flow from operation up plus 9.6% at EUR 1.3 billion. And despite a still strengthened coverage of inventory, free cash flow stood at 19.2% of sales. The strong financial indicators demonstrate continued best-in-class profitability and cash flow generation. Moving now to page 11. We have a sound balance sheet testified by two indicators. First, the net debt to EBITDA ratio stood at 1.1. More than 90% of our debt is at fixed rate and the maturity is 4.4 years. And second, we have EUR 3.2 billion of available cash. This concludes the key financial topics I wanted to share with you. And I'm now handing over back to Benoit.
Benoit Coquart: Thank you, Franck. On pages 13 and 14, we focused on a dynamic external growth in Buoyant segments. As you know, we announced earlier this year the acquisitions of Clamper in Brazil, Encelium in the US and Teknica in Chile. Today, we announced the acquisition of ZPE Systems, a leading American specialist in serial console servers with annual sales of more than US$80 million. Those products enable remote access and management of network IT equipment in data centers. This acquisition allows Legrand to enter a promising new segment which is highly complementary to its existing offerings for data centers. By the way, with Teknica, it means that we announced two acquisitions in data centers in 2023, i.e., 17 deals in data centers since 2010, of which six in the US, a very promising vertical that represented 14% of our sales in 2022. We can now move on slide 16, regarding 2023 full year targets. So taking into account achievements reported in the first nine months of the year and the world's current short-term economic outlook, Legrand has now set the following full year targets for 2023. Sales growth at constant exchange rates and excluding Russia impacts of around plus 5%, including an organic growth of between plus 2.5% and plus 3.5% and an adjusted operating margin ranging from 20.5% to 21.0% of sales before acquisitions and excluding Russia and related impacts and at least 100% CSR achievement rate. This is for the key topics of this release. I suggest we now switch to Q&A. Thank you.
Operator: Thank you. [Operator Instructions] Thank you. We will now take our first question from Daniela Costa at Goldman Sachs. Your line is open. Please go ahead.
Daniela Costa: Thank you very much. I'll take the opportunity to ask one question and one quick follow-up. In terms of the question, just keen to understand sort of like a bit better what were the portions that you saw changing the most since July that led you to do the change in guidance? And I guess, if you comment on -- it was like Europe did better overall at least versus market expectations compared to the US, which maybe is a bit counter to what people thought Europe being more resi exposed than US, more data center exposed. So, that's my first question. And the follow-up is just if you could give pricing? Thank you.
Benoit Coquart: Hello, Daniela. I like your concept of asking one question. And it's about three in a row, but no problem. So, let me go through your various topic. So, since July, we haven't really seen any change in the macro environment, neither in the US nor in Europe. We don't believe there has been any deterioration nor any improvement. And the key trends that you know remain approximately the same i.e. depressed residential market even though some statistics seem to show that it's bottoming, difficult office market in the US, a bit more resilient non-resi market in Europe. And overall, pretty buoyant trends in data centers. So the strength has been pretty much the same in Q3 and in H1. No, the change in -- the reason why we are now shooting for the lower end of the top line guidance is more related to our own efforts. In July, I told you that we wanted to reinvest some significant amount of SG&A in order to fuel growth and to achieve better volume growth. So, at the end, we achieved in Q3, better volume growth than in H1 or better volume trends than in H1. In H1, our volumes went down 2.5%. In Q3, our volumes are down 1.3%. And with two situations, it has been clearly working well in Europe. And Europe turned from a volume negative situation in H1 to volume positive situation in Q3 with a remarkable performance. Many things doing very well. Growth in a number of faster expanding segments, the success of a number of growth initiatives. But the situation hasn't improved in the US and the volume trend in the US, it's about the same in Q3 than in H1 i.e. a mid single digit negative. So, we haven't been able really to boost the volume growth in Q3 in the US. The reason being that the markets are, as I said, pretty depressed, especially in the office market and the residential market. And in a difficult market, it's a bit more difficult to convince your customers to launch a number of extra actions to support you. So, it doesn't really improve in the US. And as a consequence, we are now more targeting the low-end of the top line guidance than the high-end. Well, you have also noticed, I guess, that we have upgraded our guidance for profitability, which was 20% in February, 20.5% in July, and we are now shooting for 20.5% to 21%. As far as the pricing is concerned, well, I gave you already most of the elements. If you look at the past nine months, our selling price has been up plus 5.9% and our purchase price has been pretty flat, which implies for Q3, pricing of about plus 3% and slightly declining purchase price. Any other question?
Operator: We will now move on to our next question from Alasdair Leslie at Societe Generale. Your line is open. Please go ahead.
Alasdair Leslie: Yeah. Hi. Thank you and good morning. Obviously, very good growth in Europe. I mean, I was just wondering if it's possible to isolate the positive impact I suppose from the growth initiatives there, particularly maybe with regard to the new product launches in the quarter maybe relative to what you see as kind of blended market growth. And then can you comment on how sustainable you believe that outperformance might be? Do you think the kind of momentum can continue into Q4 and well into 2024? I suppose if I could ask a follow-up question. In North and Central America, interestingly, you mentioned a fall in offers targeting resi and non-resi applications rather than fall in sales. Maybe I'm reading too much into the wording there. But I was just wondering whether that implied a kind of rationalization of offerings or some sort of more selective approach that might have negatively impacted sales as well? Thank you. 
Benoit Coquart: So, for Europe, if you look at Q3, there's been nothing -- there's no -- as usual, there's a number of one-offs, either negative or positive. But at the end, we don't believe that technical factors as we may call them have come into play. If we put together restocking, destocking, a number of opening days, launches in Q3 2023, launches in Q3 2022. We don't believe that the total of all those factors are hiding in place. So, the real performance -- I mean, the performance of Q3 in Europe is a real, solid and really coming from the two elements which we have said. So great success of faster expanding segment and especially green related electrification of related products, thermostat, high efficiency transformers, high efficiency busbars and so on and so forth. And second factor, a number of initiatives that have been hitting the market pretty successfully. How sustainable is it into Q4 and 2024? Well, of course, we'll try to do as well as we can for Q4 for 2024. It's a bit early to make any comments. We are just starting the budget season. We'll be a bit more educated and smarter in a few weeks. So, we give you our insights about the market trends as well as our own performance when we will release our numbers in February. As far as -- your second question or your follow-up question was on the North America, non-residential, right?
Alasdair Leslie: It was just the use of the word and you talked about fall in offers rather than a fall in sales. Maybe it's just semantics and wording. But I was just wondering whether there was any kind of sort of…?
Benoit Coquart: No. There's no specific concern in North America. You know our exposure, 20% resi, 55% non-resi, 25% data centers. And out of the 55% non-resi. It's mostly probably because we don't have -- we don't always know where our products are sold, but it's mostly office building with the big exposure to big metros. So, we've been suffering for a couple of quarters in the US, because of this specific exposure and nothing much to be mentioned for Q3. It was the case for Q3 as it was really the case for H1, the situation is not worsening. Now as part of this non-residential exposure, not only, of course, we have office building, but we have also commercial retail and a number of other verticals. But the drop in volume sales over the first nine months of the year in the US. I [indiscernible]. It has nothing to do with any loss of market share. Unfortunately, we are not in the growing segments in the US. How long will it last? I don't know. But I believe that the non-residential business in the US is still a nice place to be, maybe not for 2023, but midterm remains a nice place to be. And given the strength of the position we have there, there's no reason why at some point, the market wouldn't recover and thus the market positions and lighting controls, on audio/video, on cable management, on connectivity, on local area network, shouldn't go back to volume growth.
Alasdair Leslie: Very clear. Thank you, Ben.
Operator: Thank you. We'll now move on to our next question from Alexander Virgo at Bank of America. Your line is open. Please go ahead.
Alexander Virgo: Yeah. Thanks very much. Good morning, gentlemen. I wondered if I could dig a little bit more into the sort of trends that you're seeing, particularly where you talk about the deterioration in resi and non-resi. And I wondered if you could just give us a little bit more detail on the country dynamics, particularly given the strength in Europe. I mean, it's surprisingly strong despite the fact that underlying markets feel like they're getting weaker. So, curious to hear about the country dynamics particularly given the backdrop in Germany, Italy and France as well now, I guess, in terms of permitting and transaction volumes? And then, if I could follow-up with just a question on operating leverage in the Americas segment. Is that a function of mix or pricing dynamics? Yeah. Thank you.
Benoit Coquart: Okay. So, maybe I wasn't clear enough. I don't see any deterioration, neither in Europe nor elsewhere. We have to be clear about that on the macro trend. And again, I see a rather improvement in Legrand volumes in Europe, but no deterioration in the market conditions. When it comes specifically to European countries, Northern Europe in residential has been indeed pretty depressed. You can name Germany, you can name France, which is not in such a nice shape as far as the residential market is concerned, with housing starts and permits going down and home improvement expenses being down, too. It's the same for Scandinavia. So, we have indeed quite a lot of countries in Europe, which can be significant countries for Legrand, take France, for example, where the residential market, both new and renovation has been down for a couple of quarters. Now, it's a good performance, again of Q3, has not much or nothing to do with technical factors against those poor statistics in housing starts, housing permits or home improvement expenses, you have in a number of countries, positive trend on electrification products, that you break those [ph], for example. You have a number of support or incentives, probably hitting the market and helping green related products, products such as thermostat, for example. You have a social trend helping, for example, in Europe, we did a pretty good performance in our Legrand Care business unit. So, all the products related to supporting people to stay at home longer when they get old.  Data center, even though it's a small business in Europe, it is significantly less than 10% of our European exposure has been growing nicely. So, to make the long story short, no deterioration of the market. Markets remain very depressed in the residential piece, especially in Northern Europe, but not only. And number three, we are able to grow even though the markets have not been very supportive, because we have what we call internally, a couple of [indiscernible] growing pretty nicely as well as a number of commercial initiatives. Well, when it comes to the North American margin over the last -- the first nine months of the year. So, you have noticed that our adjusted operating income margin or adjusted operating margin, sorry, is up 80 bps in North America, which means plus 90 bps excluding acquisitions. It's not much about the mix. It's more about the good and solid pricing as well as a very good production cost management. So, the gross margin is going up nicely because of those two factors. We are reinvesting a bit into SG&A. So, the level of SG&A has a negative impact on the profitability by more than 2 points because again, we are trying to invest for growth and then we have also negative impact from operating expenses. But most of the North American margin improvement is coming from the gross margin, pricing and production cost management.
Alexander Virgo: Thank you very much.
Operator: Thank you. And we'll now move on to our next question from Gael de-Bray at Deutsche Bank. Your line is open. Please go ahead.
Gael de-Bray: Thanks very much. Good morning, everyone. Firstly, I'd like to understand a bit better the strategy from here. I mean, do you still have the ambition to chase growth? Or do you now think this is no longer the right moment to invest more in the business, given the ongoing deterioration in the underlying building markets? And then secondly, could you provide a bit more color on the big sequential deterioration seen in organic growth in the Rest of the World markets between Q2 and Q3? Thanks very much. 
Benoit Coquart: Hello, Gael. Well, I will start with the second question. Where the deterioration is not as big as you could think because you have to take into account the fact that the pricing is also lower in Q3 than in H1. This is true for all zones. You have in mind that we -- maybe will later comment on the pricing for Q4, but we said that the pricing, which is mostly a carryover from 2022 and H1 2023, will progressively be -- go down a bit and will, of course, remain positive, it'll be down a bit in Q3 and in Q4. Now this being said, volume wise, yes, indeed, the Q3 performance is not as solid as H1, still positive, not as solid. We believe that it's more a matter of one-offs supply chain issues in Africa, for example, or a specific topic here and there, but we don't see long-lasting, the deterioration in the Rest of the World. India remains extremely buoyant, growing nicely, and the Q3 performance is very good. China, it's about flat, which is a good performance given our exposure. I remind you that we do more than half of our sales in China in the residential business and the large majority of the residential business is new build, not renovation. So, we are really in the space where -- which is not an easy 1 in China, but taking that into account, it's pretty flattish. Africa is still doing well, a little bit less in Q3 than in H1. But again, we believe that it is more a one-off than anything structural. And Latin America remains a difficult place to be, especially Brazil. So, indeed, looking at the numbers, Q3 is not growing as much as in H1. Part of that is coming from a bit less pricing, and part of that is coming from some negative one-offs impacting Q3. We have not seen overall in this zone deterioration either. As far as the strategy for the year is concerned, it's an interesting question. We are not giving up. So, both in Europe and in North America, we have identified a number of programs, which we believe nice programs to implement. Indeed, they are easier to implement in Europe than in North America for market related topics. But we're not giving up and we'll continue to try to capture growth opportunities in Q4. Now, you have seen our guidance. Our organic guidance, which is from plus 2.5% to plus 3.5% for the full year implies a year to go -- which is basically from minus 1% to plus 3% and the midpoint at plus 1%. So Q4, if you take the midpoint of our guidance, it should be about plus 1%. If you break it down into volume and price, we told you in July that our pricing for the full year should be between plus 4% and plus 5%. I can confirm now that it will be closer to the upper end of this bracket. So, it will be close to plus 5%, which implies close to plus 2% for Q4. And as a result, this plus 1% like-for-like year to go should be read slightly less than plus 2% in pricing and approximately minus 1% in volume. So that's what we are shooting for. So what does it imply? It implies that we're going to continue to invest into growth. And that's one of the reasons why our year to go in margin should be between, let's say, 16.5% and 18.5%. And -- but we don't expect this strategy to translate into huge growth in Q4. So, no change in strategy. But again, you have to take into account the fact that we operate in difficult building market. And as a result, those initiatives do not translate into 4%, 5%, 6% growth unfortunately.
Gael de-Bray: Thank you very much.
Operator: Thank you. And we will now take our next question from James Moore at Redburn Atlantic. Your line is open. Please go ahead.
James Moore: Hi, everyone. Good morning. Thanks for the chance to ask some questions. Could I just follow up on wage inflation and whether it's 5 or 6? And could you add a decimal point to the raw material and components inflation versus the 0.4 in the first half? So, my question really surrounds SG&A and your ambition to increase SELEX and marketing spend. It looks like it went up 3% year-on-year. But the share of sales, up 130 basis points in the third quarter, which was more than the 90 basis points in the first half. And I would really like to help with how you see that moving in the fourth quarter. And I think you talked previously about pre-anticipating some launch costs from next year, onboarding some more agents and moving spend to some faster growth areas. And I wonder how much you're really bringing forward cost from next year that could effectively drop out next year or whether we should also anticipate further increases in the SG&A to sales ratio next year? Thanks.
Benoit Coquart: So as far as -- let's take your question piece by piece. As far as wage inflation, like-for-like, it's close to plus 6%. So, no major change compared to H1, and we believe that it should remain more or less close to the level for the full year, close to plus 6%. So, it used to be, let's say, plus 5% from previous years. It's now plus 6%, so it's a little bit more than we used to have in the past, but it's not a major change. And it's something which is completely manageable from a cost standpoint. As far as the price of raw mats and components and the pricing is concerned, I gave already the numbers for the first nine months and for Q3. As far as Q4 is concerned, I told you that in terms of selling price, we should be close to plus 2%. As far as purchase prices are concerned, it's as usual a question mark, but you remember that in Q4 2022, there was a sequential improvement or decrease in purchase price. So, for Q4 2023, there should be a slight growth in purchase price. So this is one of the reasons why the margin should be at the level close to plus 2% in terms of pricing and growth in terms of purchase price, hence, less benefit from the difference between selling price and purchase price. As far as 2024 is concerned, well, it's a big question mark. We'll try to answer this question in February when we'll release our numbers and give our full year guidance. So, it's far too early. And we are not the best company to give you hints about what the raw mats and components will do in terms of pricing, because we don't have a long-term contract. We are buying materials, mostly based on the actual price. So, we'll try to give you more guidance for -- in February, but with the limitation of our business mode, if I may say. As far as SG&A are concerned, let's be clear about the numbers. Like-for-like, we have our SG&A with -- which has been growing about plus 7% over the first nine months of the year with like-for-like sales growing plus 3.7%. So, indeed, we have tried to invest into SG&A. And interestingly, in Q3, discretionary SG&A sales network, sales, advertising, stuff like that, as planned, have very significantly increased more than double digits. So, this strategy has been launched, we will continue. Well, to make things clear, no significant expenses will be pulled from 24 to 23. It's more about implementing special schemes with our partners, doing roadshows to give more power to new product launches, doing social media campaigns, trying to I'll point here and there a few commercial people in areas where we think there could be additional potential. So, it's more about actions -- structural actions or one-off actions to boost sales rather than anything like pulling expenses from 24 to 23. Now as far as the SG&A trends for 2024, same question as your colleagues, same answer then to your colleagues. We'll give you more guidance on 2024 in February. The only thing I can tell you on 2024 because, again, it's not today's exercise is that whatever happens, the building blocks of Legrand performance will remain. So, we will chase as much growth as we can, especially by focusing and investing on faster expanding segments. I can confirm that over the first nine months of the year, connected products, green and data centers did significantly more growth than the more traditional products, which are which are highly related to the building industry. We will continue the strategy and those three segments will grow faster in 2024 than the rest of the product offering. We will do pricing. Probably not a lot of pricing, we'll see depending on the raw mats and components, but I can confirm that the prices won't go down in 2024 for Legrand and will continue to increase as they have been increasing for the past 30 years or so. We will continue, of course, to manage carefully our cost. You have, for example, noticed that over the past -- the first nine months of the year, we have restructuring expenses of EUR 40 million. Usually, on a yearly basis, we have restructuring expenses comprised between EUR 20 million and EUR 30 million. So, it means that we have done more restructuring in nine months than we usually do over 12 months. It is -- I mean, this is done in order to continue to improve our cost base in years to come. We will continue to do acquisitions. 2023 in this respect has been in the lower end of our midterm guidance. Indeed, we will achieve close to 2% perimeter impact. And I remind you that we are shooting for 3% to 4%. We are not giving up. We have many opportunities, many discussions going on, many letters of intent under negotiation. So, we will shoot to achieve our midterm guidance in terms of climate impact next year. And we have a strong balance sheet to do it. We have a leverage, which is 1.1%. So, all those building -- even though I cannot, of course, give you -- it's far too early to give you an indication about our 2024 guidance. All those building blocks of Legrand performance, I can really confirm they will remain, and they will, of course, come into play as you may expect.
James Moore: Thank you. Thanks for the answers.
Operator: Thank you. And we'll now move on to our next question from Aurelio Calderon at Morgan Stanley. Your line is open. Please go ahead.
Aurelio Calderon Tejedor: Hi. Good morning. Thanks for taking my questions. So, the first one is probably touching on your -- just point on M&A. You've also talked about rebalancing the portfolio in the US within the non-resi verticals. Is that going to be through M&A i.e. I know that you have exposure to some verticals like, for example, circuit breakers or some product lines like circuit breakers. But do you think that you can change that kind of non-resi exposure organically, or do you need M&A and the product lines to do that? And the follow-up question would be, you mentioned that you haven't seen a real change in trends in Europe or in the US. You also mentioned destocking or restocking not having a major impact. Could you quantify if you've seen -- could you probably touch on that destocking effect if it's changed? I'm assuming it's not changed sequentially, but how much of an impact it was in 1H or in 3Q? Thank you.
Benoit Coquart: Hello. So, indeed, we -- midterm, we are shooting to reduce a bit of exposure to the non-residential, especially to the office building. But again, I wanted to insist on the fact that it's not such a bad space to be. It's not supportive. It has not been supportive for quite a few quarters. But at some point, if we come back. And I'm sure that it will be back to growth and it could even be back to significant growth. So, I wouldn't like you to think that it's a very, very bad space to be. And actually, we are not contemplating, for example, to dispose of our assets, which these non-residential segment because we believe that those are very good assets, strong leaderships, nice margins, good cash flow and we should benefit from the growth when it will come back. As far as the rebalancing is concerned, it's a mix. It's both a story of organic growth and of acquisitions. Organic growth will take, for example, lighting fixtures, where we are very much exposed to the big metros. Well, our various brands of lighting do have a strategy of going after other verticals. So hospitals, so health, education, possibly infrastructure and so on and so forth. But as you know, organic moves take a lot of time. You don't decide overnight to become a significant player in that vertical. So the fastest growth way to do this rebalancing is definitely acquisitions. If you look at the couple of acquisitions we've done in the US for quite some time, many of them are data center related. And one was announced today. Some more will come in faster expanding segments in the quarters to come. Well, I don't believe that circuit breaker is really a space for us. It's already well occupied by big guys. So, we are more shooting for segments in which we can become through acquisitions, solid number one and number two. If you take that ZPE System, for example, it's a very, very solid number one or number two in interesting niche market. So this is more the type of companies we are looking at number one or number two in niches or less niches, but faster expanding segments in electrification, energy efficiency, data centers, connected products and so on. So, we'll continue to look at the opportunities in the US and it's highly likely that those acquisitions will be in those faster expanding segments. As far as stocking, destocking is concerned, well, there's a bit of destocking year-to-date, but I wouldn't qualify it as substantial. Nothing really to be noticed in Q3. And again, all these technical factors are not playing much in Q3. And as far as the level of inventory at our distributors -- same feeling as when we shared three months back. We don't believe that our challenge is inventory reach in our products. They haven't built much inventory for the past two years. So, we are not expecting a strong destocking coming from distributors. Now as usual, and as you know, it's not in our hands. So, this is a question you should ask to [indiscernible] of the world.
Aurelio Calderon Tejedor: That's great. Thank you.
Operator: Thank you. And we'll take our last question from Eric Lemarie at CIC. Your line is open. Please go ahead.
Eric Lemarie: Yes. Good morning. Thanks for taking my question. I've got two remaining. The first one, could you remind us the expected impact from Scope and Russia on your full year EBITDA margin, please? Would it be similar to the nine months impact around 30 basis points? And the second question on pricing. What is the percentage of your sales impacted by negative pricing effect in Q3, if any? Thank you.
Benoit Coquart: Well, I'll take the question on pricing, and I will let Franck answer on Russia. We don't have this KPI. We have 300,000 SKUs. So, it will be a very complex analysis. So no, I don't have this measure. But I can tell you is that our three zones have some -- have seen their price increasing in Q3, 2023. And most of our countries have seen price increases in Q3. Again, not coming much from new price increases, because the price of raw mats and components of the added value transportation, energy, so input costs did not require us to do additional pricing, but that we could if we wanted to, but more coming from the carryover from 2022 in H1. So the -- you shouldn't feel that we are -- understand that we are seeing more pressure than usual in pricing.  Our markets have always -- has always been price competitive market by definition. But on this price competitive market, we've always been able to increase prices. 2023 will again, with a close to plus 5% price increase be the demonstration of that. And as I said earlier, if we need to do more pricing in 2024, we have retained the stability. If you look at the past four years, we have increased selling prices by about 20% accumulated. And the price of raw mats and components has increased by more than 23%. And actually, interestingly, our level of gross margin for first nine months of 2023 is only slightly above -- 40 bps above, it's the level of gross margin that we had in 2019. So, we haven't done too much price increases. The improvement in profitability between 2019 and 2023 is coming mostly from the leverage on expenses, production expenses and SG&A, and the fact we've been able to hold our costs tight, but it has nothing to do with too much pricing. So, again, it means that should we need extra pricing in 2024, will do extra pricing. I'm turning to Franck for the question on Russia.
Franck Lemery: Yes. So, to wrap up, Russian impact, talking about the top line, at the end of September, Scope is [indiscernible] what we call Scope is minus 0.7%, it should be minus 1% at the end of the year. Talking about adjusted operating income at the end of the nine months, it's a dilution of minus 10 bps, and it will be around minus 5%, minus 10% by the end of the year. Then the last impact that would be mainly recorded in Q4 will be the proceed of the sale, the sale of the Russian activity, which would be loss in the net profit of around EUR 45 million, mainly on behalf of the translation reserve and a cash benefit of around EUR 15 million and this will end the Russian impact for the full year.
Eric Lemarie: And in terms of Scope effect on margin in Q4, no reason why to believe it will be different from…?
Franck Lemery: This is why I say that over nine months, it's minus 10 bps. There would be no impact on Q4 and accordingly, full year, it would be slightly less than minus 10 bps.
Eric Lemarie: I was talking about the Scope effect outside Russia.
Franck Lemery: Sorry. So, the Scope effect on a full year basis is expected to be around minus 20 bps, a part of that, say less than half of that are being Russia and more than half of that being acquisitions.
Eric Lemarie: Okay. Less than 20 bps for the full. Okay.
Franck Lemery: Together, around 20 bps, minus 20 bps.
Eric Lemarie: Okay. Thank you.
Operator: Thank you. There are no other questions in queue. I will now hand it back to Benoit Coquart for closing remarks. Thank you.
End of Q&A:
Benoit Coquart: Well, thanks for your time and your interest in following Legrand. As usual, if you have some follow-up questions, Ronan, Antoine, Franck and myself are at your disposal today. So, don't hesitate to give us a call and try to answer any additional questions you may have. Thanks a lot.
Operator: Thank you. Ladies and gentlemen, this concludes today's call. Thank you for your participation. Stay safe. You may now disconnect.